Operator: My name is Katie and I will be your conference operator today. At this time, I’d like to welcome everyone to the Buenaventura Second Quarter 2013 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks there will be questions-and-answer session. I would now like to turn the call over to Ms. Maria Barona, on behalf of i-advize Corporate Communications. Ma’am, please begin.
Maria Barona: Thank you, and good morning everyone. Welcome to Compania de Minas Buenaventura's second quarter 2013 earnings conference call on this July 31, 2013. Today’s call is for investors and analysts only. Questions from the media will not be taken today. Joining us from Lima are Mr. Roque Benavides, Chairman and Chief Executive Officer; Mr. Carlos Gálvez, Chief Financial Officer as well as other members of the Company's senior management team. We’ll be discussing Buenaventura's results for the report issued yesterday. If you did not receive a copy of the report, or you wish to join the mailing list, please contact us in New York at 212-406-3691. Before we begin, I’d like to remind everyone that any forward-looking statements made today by Buenaventura's management are subject to various conditions, and may differ materially. These conditions are outlined in the Company's earnings report in the disclaimer. We ask that you refer to it for guidance. It is now my pleasure to turn the call over to Mr. Roque Benavides. Mr. Benavides. Please begin sir.
Roque Benavides Ganoza: Good morning, welcome and thank you for attending this Buenaventura's conference call. This quarter has been difficult for the whole industry and due to a number of factors, metal prices declining, that having significantly impacted our results and the inventory results, but in addition to that in the case of Buenaventura we have had lower production in Uchucchacua due to a 10 days strike. We have lower revenues and quotation period adjustments in El Brocal and Cerro Verde, and in addition to that, we had an impairment and write-down adjustments at Yanacocha. All of these have impacted our quarterly results. As a consequence, results were lower than expected. Net income in the second quarter was $19 million, 88% lower than the figure reported in second quarter 2012. EBITDA from Buenaventura’s Direct Operations was $40 million, 65% lower than the figure reported in the second quarter 2012, while EBITDA, including Associates, decreased 47%, from $351.8 million in the second quarter 2012 to $187.5 million in the second quarter, 2013. The Company has taken some steps and focusing its activities on value creation. First, we are stopping production in non-profitable operations; Antapite, Poracota, Shila-Paula, that are smaller operations, but that we were loosing money, and we are evaluating the performance of the other units obviously. Secondly, we’re focusing mine exploration activities on high grade and accessible targets. Thirdly, increasing mining operation efficiency, our Orcopampa and Uchucchacua we have continued working with (inaudible) to improve efficiency in this two mining operations. Fourthly, focusing on brownfield exploration to reduce risk as opposed to greenfield operations. We are going to concentrate 80% of our effort in exploration brownfield, compared to 20% in the Greenfield. And finally capital expenditure control and concentrating on cash generation, cash position that is the name of the game that’s in. During the second quarter 2013, net sales were $273 million, an 18% decrease compared to $331 million reported in the second quarter 2012. This was explained mainly due to lower metal prices. Our net sales for the six months of 2013 were $ 614 million, 11% lower than in the first six months of 2012. We are now into that equity production. In the second quarter 2013 was 98,200 ounces of gold, 8% lower than the 107,168 ounces reported in the second quarter 2012. Mainly due to our production decline in our Orcopampa and Poracota. This was offset by a production increases in La Zanja and Breapampa. Silver production, including associated companies, during the second quarter 2013, was 4,420,000 ounces, 2% decrease when compared to the figure of the second quarter 2012. Our equity production in the six months of 2013 was 203,600 ounces of gold and 9.1 million ounces of silver. At Orcopampa, our total production in the second quarter 2013 was 54,988 ounces 9% lower than the 60,700 ounces reported in the second quarter 2012. Production from the Chipmo mine during the second quarter 2013 was 50,196 ounces, 12% lower compared to the 56,700 ounces reported in the second quarter 2012, due to lower ore grade and the production from the old tailings treatment produced 4,791 ounces of gold that and total production in the second semester or the first semester, the first six months of the year was 8,900 ounces, an 18% decrease when compared to the semester to the six months of 2012. Essentially in Orcopampa, we are very optimistic that we have that time successful exploration at Nazareno drain in it, and we are finding additional ores, where we have been successfully finding additional ores in going over an important ponds geological ponds that we have in this area, and drains that we thought were exhausted, we are finding additional resources on the other side of this pond. So we are very optimistic about Orcopampa and the possibility of going back to the higher production that we have had in the past. At Uchucchacua, total silver production in the second quarter 2013 was 2.7 million ounces, in-line with the second quarter 2012. The lower ore treated, due to a 10-day strike in April, was offset by an increase in the recovery rate, from 72% to 83%. Zinc production in the second quarter 2013 was 1,938 metric tons, 5% lower than the reported in the second quarter of 2012. Despite those 10 days strike in cash operating cost in the second quarter 2013 was $16.20 per ounce, 3% lower than the figure reported in the second quarter of 2012; a better recovery rate, lower reagent consumption due to plant optimization and lower treatment charges due to lower prices was the reason why we were able to reduce our cash cost. We have been concentrating to improve efficiencies at Yanacocha and we are now seeing results of these efforts, which make us very pleased of the work done in this operation. At Julcani, total production in the second quarter 2013 was 548,890 ounces of silver, 9% lower than the second quarter 2012 due to lower ore grade, a 20-day stoppage that was offset by the increase in plant capacity. During the semester silver production was 1.16 million ounces of silver, 6% lower than the figure of the same period in 2012. Silver cash operating cost in the second quarter 2013 was 15.64 per ounce. At Breapampa’s total production in the second quarter 2013 was 19,342 ounces of gold with a cash cost of $410 per ounce. At La Zanja’s total production in the second quarter 2013 was 37,045 ounces of gold, a 34% increase when compared to the second quarter 2012 due to an increase in the ore grade and for the full semester gold production was 68,000 ounces, 26% higher than the semester in 2012. Cash operating costs in the second quarter 2013 was 579 ounces and $579 per ounce, 5% lower than the second quarter of 2012. At Tantahuatay, total production in the second quarter 2013 was 35,000 ounces, 14,000 ounces attributable to Buenaventura, 10% lower than the figure reported in the second quarter 2012. During semester 2013 our gold production was 69,600 ounces, 27,900 ounces attributable to Buenaventura. Cash operating cost in the second quarter 2013 was $427 per ounce. At El Brocal, copper production was 5,050 metric tons versus 496 metric tons reported in the second quarter 2012. Essentially in this mine, we have a time when we are producing from the copper area in all the times we are producing from the zinc area. This cost, we have been producing from the copper area and that is the reason for increase in copper production. For the six months of 2013, copper production increased 67% and copper cash costs was $6,524 per metric ton in-line with the figure of the second quarter 2012. Our general and administrative expenses in the second quarter 2013 were $23.6 million, 6% lower than the figure reported in the second quarter 2012. This expense will include $5.7 million charge related to the merger with our subsidiary CEDIMIN. For the six-month period of 2013, general and administrative expenses were $39.6 million versus $54.8 million in the same period 2012, representing a decline of 28%. Our operating income in the second quarter 2013 was negative $4.3 million, compared to the $81.2 million reported in the second quarter 2012. This decrease was mainly due to 18% lower revenues and 30% higher operating costs. Our share in associated companies during the second quarter 2013 – Buenaventura share in associated company was $48.8 million, 60% lower than the $122 million reported in second quarter 2012. Yanacocha’s contribution towards these results decreased 73%, from $86 million in second quarter 2012 to $24 million in second quarter 2013; Cerro Verde’s contribution decreased 39% from $34 million in the second quarter 2012 to $20.8 million in the second quarter 2013. Coimolache’s in terms our Tantahuatay mine contribution decreased 79% from $9.6 million. An update on the Canteras del Hallazgo project, in which studies are currently being conducted towards evaluating a potential underground mining scenario, a review of capital expenditures, along with the construction of a decline towards the higher grade area oriented to the high grade resource enhancement. Buenaventura’s second quarter 2013 net income was $19.0 million, and the 88% increase compared to the same period in the second quarter 2012. In terms of our project that Pampa Verde Project will allow in the strength of La Zanja will allow the development of the new open pit, an expansion of the current leach pad an improvement to the operations growth assets. Construction began in the second quarter of 2011 total investment in this project is $78 million. Completion is expected for the third quarter 2013, and additional your technical work was done for the slope stability during the first quarter 2013. In the case of La Zanja we have also had very good result in the underground area that we expect to develop into future with (inaudible) where we are finding we expect to put into production in the next couple of years. The real sulphate plant when an included with the construction of the manganese sulphate plant, the total budget for this project is expected at $90.0 million at the conclusion of the second quarter 2013, total expenditures you had reached $ 84.8 million. The project includes an acid leaching plant, a sulphuric acid production plant and a manganese sulphate crystallization plant; it also includes a warehouse to store low manganese Ag-Pb concentrate and one to store the finished manganese sulphate crystals. As second quarter of 20113, equipment commissioning for all three plants was being carried out. And the project is expected to begin operations during third quarter 2013. At Huanza, our directed plant construction during the quarter has been in terms of Water Conduction Tunnel, 10,000 meters of construction 100% complete, the power plant civil works 100% complete, the Pallca Dam 100% complete, the Penstock 100% complete, the construction of Generator Number 2 is nearly complete and the Generator Number 1 is 50% completed, commissioning of the Pallca Dam has been completed, tunnel commissioning is almost completed, the Penstock and the test running of Unit 2 is expected by August 15. Yesterday we had our Board of Directors meeting and one of the resolution was as part of the cash control strategy, the Board of Directors proposed the modification of the dividend policy. The new policy is Buenaventura will distribute an annual cash dividend of at least 20% of net income generated by majority-owned operations and subsidiaries. In the case of Buenaventura’s Associates; Coimolache, Cerro Verde and Yanacocha and specifically Cerro Verde and Yanacocha where we are investing heavily in different projects in Cerro Verde and Yanacocha, 20% of attributable to Buenaventura’s net income will be included in the distribution and they distribute cash dividends to Buenaventura. The effect of the matters is that we have not been receiving dividends from Cerro Verde nor Yanacocha for the last two years and we believe that we should distribute depending on Wednesday and distribute dividend to Buenaventura. With this, we are open to any questions that you may have. At this time, I’m accompanied with Mr. Carlos Gálvez and Mr. Leandro García and Patricia Velez (inaudible), because he is currently in Mancha Pampa in some field work which is also very important. With this, we’re opening to any questions that you may have. Thank you.
Operator: Thank you. We will open the floor for question. (Operator Instructions). Our first question comes from Thiago Lofiego from Merrill Lynch.
Unidentified Analyst: Good morning, afternoon this is actually (inaudible) and thank you allow me ask the questions. My first question is as regarding costs, we have been seeing direct operation suffering from continued cost pressures over the last quarters, maybe when we look at Compania. Could you help us understand what have been the main driver and what you expect for the next quarters? And my second question regarding project is if you please, provide an update on how the studies are going on the Chucapaca project and are there any updates on the Uchucchacua? Thank you very much.
Carlos E. Gálvez Pinillos: There is a couple of errors. Regarding the cash cost judgment, it is important to mention that despite the fact that second quarter, the cash cost was 55. We have to share that (inaudible) cash cost for the quarter was 1620, the cash cost in June was 14 and we’re expect to continue using base. Likewise in (inaudible) prior to the quarter was 16.64, in June it was 12, so it was clear that it was impacted for the strike. In case of (inaudible) while in the quarter we reported in excess (inaudible) cash cost per ounce, the cash cost in June was our synergy too. We expect to continue reducing that. To do so, what we are doing is focusing on the operations front, not by moving their efforts working on the exploration in the areas where we have a higher potential and of course among the other operations what we are doing we feel our plan is on the right hand for the whole company reducing in excess of 2000 people that we have to really release at this point in time 1800 people. Secondly, we are reducing these efforts, especially in their operating units develop you mentioned those were loosing money (inaudible) that to whether or reducing 2200 millions per month together. And a green efforts in the different operating units I want to reduce by 9,100 meters or together (inaudible) savings for about $7 million for a month, In New York, talking to production in the losing operations within savings in the other formula (inaudible) per month and improvements in the Huantajalla, Uchucchacua and here in Orcopampa operations to savings in the order of $4 million per month. So this is the sort of efforts we are working on now. The Chucapaca project that you were asking, we expect to a have capability, (inaudible) reporting the alternative that we have been evaluating by year-end and as you know we were not successful when we first tried, we believe that different alternatives and zone alternatives or mix of open detail is on alternatives and we are working on that and we should report to the market as soon as we have those tallied. In the case of our (inaudible), we are essentially we finished the current level, which is what I referred were to be finished. We have all these efforts that we need for hiring our people working in the site and we are working on the internal loans for the projects and we are essentially monitoring the central front. We have the feeling that things are improving that we are socializing much better the project and as (inaudible) press release mentioned yesterday we are guiding for developing this project as much as we can, but we have to be careful as we connect well. The indicate of the other very important projects, which is the expansion of Cerro Verde. We continue working on that, as you know both investments are very important going back in Cerro Verde expansion. And that is the reason, why all the money that is very important assets of Buenaventura are reinventing most of its profits and regaining all of its cash within the entities that they (inaudible).
Unidentified Analyst: That’s perfect. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from John Bridges from JPMorgan.
John D. Bridges – JPMorgan Securities LLC: Good morning, Roque, Carlos. Interesting set of results, interesting quarter. Just wondered on the timeline of these sectors and getting into the higher grade Nazareno vein and so on. Do you expect to see much improvement in Q4 or will it have to be Q1 next year?
Roque Benavides Ganoza: I think these are explorations that are being done in three levels of the mine. We intersect it first indications of the continuation of this veins in the lower level, and then we have to develop the upper level. So the thing is that, we can have production sooner than later, if I may say. I cannot assure you that it's going to be this quarter. One thing that there have to be mentioned at the case of Orcopampa is this for always be very important discovery, that the other one is that we have been working on the (inaudible) to get to the Pucay area, and that we are also finding some resources in the Pucay area. and for a few months, we were not working in developing new banks, but we were working on developing infrastructure in demand. I have the operation that we are going to see much, much better times in Orcopampa going forward. We’re finally out; we have two things to share with you, so as always, that we have acquired similar equity for mere range to a produced gold in the current operating areas. Reducing sharply the dilution that we had, well we have equipment that was an arrow to be used in the wider bench. And not now, we’re approaching these mineral structures that we need to do so as more equipment that we…
Operator: Hi.
Unidentified Company Representative: Do we get that?
Operator: One moment, we’re connecting the line in. Backup take the line is going.
Unidentified Company Representative: Please tell the members of our audience that we’re reconnecting the speakers.
Operator: Okay.
Unidentified Analyst: Hello.
Maria Barona: Okay this is Maria, Mr. Benavides, you may continue.
Roque Benavides Ganoza: Yes, okay. well, the expansion level that we expect to cut on these smaller acronym by November. so we will be able to exploit more efficiently by December, regarding the new areas of (inaudible) it was mentioned I was right we have to – in France and we are completing the information in three levels and the expectation is to put these areas to begin production from January onwards. Eventually it could be the – but third quarter the next year would be.
Unidentified Analyst: Okay that’s very helpful and then it given the ups and downs in production base metals from Brocal are you still comfortable with the guidance for lead and Zinc production in 2013?
Unidentified Company Representative: In Brocal where we are going to do is to produce 100% copper while we began it in June from June to December we have been producing 100% copper not metallic ores and we would assume from metallic ores from January onwards.
Unidentified Analyst: Okay so you are comfortable with your previous guidance on the precious metals are you still are you comfortable with the base metals as well?
Unidentified Company Representative: Well in the case of base metals it should continually come to say because what the contribution of lead and zinc from Brocal there is going to be nowhere that when we expected, that copper will complete it.
Unidentified Analyst: Okay, so what’s the tonnage and – should we expect from the call for the rest of the year?
Unidentified Company Representative: The low (inaudible) the production at El Brocal should be above 5,000 tonnes – should be in the order of 30,000 tonnes of copper metallic content.
Unidentified Analyst: Okay. And the gold content, silver content?
Roque Benavides Ganoza: For the rest of the year (inaudible) it should be in the order of 9.5 million ounces of silver and in the order of gold of 15 million ounces when we build this…
Unidentified Analyst: Maybe why you are looking, I’m just wondering was there any reason why Cerro Verde’s revenues was so much lower. You stated the copper price, but was there anything else then, was there a big concentrated adjustment or something, was it related to the expansion that they had some inter financial production?
Roque Benavides Ganoza: Well, there is no surprise that Cerro Verde, we used to mention in lower grades in their secondary products and in each material area, especially, and for sure there is an improved net flow related to the construction, which is one of the main impacts in terms of the volumes of copper produce. Secondly, the impact in terms of the revenue you know Cerro Verde (inaudible) lower prices, but also there were several adjustment, mega type of – drop off couple of products during the second quarter that material that were sold in the first quarter, so the negative judgment impacted the sales revenue.
Unidentified Analyst: Now how big an adjustment was that? Do you have that in terms of you?
Unidentified Company Representative: No, unfortunately I don’t have this in the top of my mind and in terms of – but we can review it later on.
Unidentified Analyst: I’d be interested, I would be helpful in the model. Thank you. Do you have that gold number as far this quarter?
Unidentified Company Representative: No, I would prefer to give you this later on after reviewing my figures, please.
Unidentified Analyst: Excellent, many thank. Best of luck guys.
Unidentified Company Representative: Thanks.
Unidentified Company Representative: Sorry, may I, if I may John, the word interesting quarter was something that made think about it that. Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from Carlos de Alba from Morgan Stanley.
Carlos F. De Alba – Morgan Stanley : Thank you very much, Carlos I would appreciate you kind of go back and just repeat the number of millions of dollars you expect to say by each one these incentives that you have highlighted. I mean I was a little bit concerned with the decline in cash flow generation and particularly in the cash balance of the company. So it will be interesting to see, where do see your CapEx and cash amount in the second half of the year, considering already the benefit that you expect to get from these initiatives. Well, but what you’re going to then I couldn’t take a note of all of those, so I just like to mention that I am using the numbers, so what opportunity can go back and repeat. What is the effect of the impact you’re expecting from the dead line that management has put together?
Carlos E. Gálvez Pinillos: Yeah, for sure. The question is that between the segments in drifting and drilling. We are going to save in the order of $7 million per month. That well, the detail was reducing the drifting by 2,200 meters per month, and drilling by mining that 1,100 meters per month, the different opportunities. Paula, Poracota, Recuperada, and even in Mallay. Talking short-term production in these loosing operations would safe in the order of $4 million per month. And improvements in a Hualgayoc, Uchucchacua, Mallay, Orcopampa, will represent in the order of $4 million per month. So all together for 80% (inaudible) $7 million to $16 million per month (inaudible). On the other hand we are focusing in our exploration efforts. As Roque mentioned, this strategy in exploration efforts is not only to complete and drifting and drilling product but also and especially achieving objectives. So these are in regard they have to remark the fact that better view our exploration efforts in have the occasion to renew and control the progress of every single objective on and the occasion to objective and as the efficient just stopped whichever exploration therefore, we will not achieving the goals. This is important for us, because it is going to be a much more selective exploration therefore. And controlling brownfield by center will add value to do separation, therefore because the exploration effort until now was controlled by our operations, this is no long, but the main concentration of our job was the exploration, we’ve seen the mine, the operating areas, and the secondary control in the brownfield yesterday, so which is going to be important, and that’s it.
Carlos F. De Alba – Morgan Stanley : In the $50 million per month that you mentioned, you already including the benefit from the 2200 people that will leave the company?
Roque Benavides Ganoza: Yeah, when we reduce the drifting therefore (inaudible) these are all included, the people reduction, consumer also consumption reduction and so on (inaudible).
Carlos E. Gálvez Pinillos : Right.
Carlos F. De Alba – Morgan Stanley : And $50 million are also net or whatever payments our expenses one-off expenses you may have to incur in order to use the cost, right?
Carlos E. Gálvez Pinillos : Well, this is something that they should impact in our P&L. This is not only the source of cash or pricing or whatever, what – capitalize, when in terms of our P&L, the net impact should be for diesel.
Carlos F. De Alba – Morgan Stanley : All right and then my last question assuming metal prices constant, when do you think, you can be free cash flow positive, do you think you can achieve that alrady in the third quarter or we’re talking more something closer to the first quarter of next year.
Roque Benavides Ganoza: We believe so and the question is that the reaction of our operations unit, Vice President had a immediate revision. Our objective was to reduce 1000 people, we have to reduce 1700. There were to stop doing we had to subcontract and reduce doing with machines. We have retired these improvement and we have already stopped processing supplies. And we are transferring some of our units to another and reducing the cash flow and general like. The reaction was immediate. So we have to – to have much better resource during the third quarter, I am so sure will be 100% impacting the last quarter.
Unidentified Analyst: And Roque, if I may ask you a question on Yanacocha., we have seen a lot of companies taking impairment charges on environment and we all know the difficulties that unfortunately Yanacocha has with the project. And even now, I think there is some social protest trying to avoid the water to reuse from the lake to filling these water, that we’re completing right – that we’re constructing right now. Can you give a little more color as to what is exactly going on with the social protest around the lake, if it is still going on or it has been stopped. And also how do you see the impairment the possibility of an impairment in the Minas investment, given the new precious metals conditions that we are seeing.
Unidentified Company Representative: Certainly the reaction of very, very few people have made front pages and probably have made the news for people in New York and London, but higher interest there have been very, very few people for testing. On the contrary, we are seeing more and more support. I have personally been talking to Gary Goldberg and I think Gary hasn’t turned yet. And we both companies are committed to take this stronger ahead. We don’t intend to quit. We think that the project continues to be profitable project, especially after $1.5 billion investment if you wrote on senior loan whereas the project even looks better, if you are take into consideration time costs and even if you take into consideration time cost is still a profitable project. So we are not running on dropping this project.
Unidentified Company Representative : Okay final outcome (inaudible) it is important to mention that this current market situation is an opportunity to renew the CapEx of this project and to deal it with an important cost control. So we have to renew this CapEx and eventually will be lower than it was initially expected.
Unidentified Company Representative : And then if I may also add, there are another many projects proper gold project like a (inaudible). It is not easy to have a project. And that apply for a certainly Ventura and also Newman so I don’t – we have to find it and we are prepared to do so.
Unidentified Company Representative: Perfect. Thank you. Thank you very much.
Operator: Thank you. Our next question comes from (inaudible) from Credit Suisse.
Unidentified Analyst: Hi Carlos, thank you so the time and answer the questions. My first one is related to cash (inaudible) and of course I would like to see you comment how you expect these got to deliver from the rest of the year on 2013 and my second question, you look into projects in general, is there any level of IRR where you would feel uncomfortable on developing this project, I mean then metal prices are our expectations, we have seen there are considerable mining projects goes on significantly. Is there any specific level where you wouldn’t develop a project? Thank you.
Unidentified Company Representative: And your second question is – are you asking on specific project.
Unidentified Analyst: No. in any project that are (inaudible) where the IRR wouldn’t to be a carrier you had initially expected, on level wouldn’t you develop that project.
Unidentified Company Representative: Well there are number of variables and I will start with the second question. There are number of variables to your question. In general terms I would say that we are looking for projects that have an internal rate of return in the order of 10% to 20%. We are not going to get into lower than that but on the order type there are expectations on prices and I think we are suffering lower prices at this point in time. Our understanding is that copper prices, for instance, have reminded many people a bright future and we have to take that also into consideration. We believe that also the mining metals, it has to be – or the development of each of the mines as we take into configuration, has, as Carlos mentioned the opportunity to reduce cost of CapEx in different projects that also we take into configuration. But in general term, we are still excited on the three main projects that we have mainly meaning Coimolache, Cerro Verde and [Yanacocha].
Carlos E. Gálvez Pinillos: Yeah. With that on your first question and the cash cost of, cost of figure which you said, [in the case of Minas] Poracota, we expect to keep within guidance, which is between 300 to 350. You have to remind that during the second quarter the (inaudible) unemployment of the inventories on the niche platform due to this reduction of prices that impacted the growth in line of $62 per ounce. So this is an exceptional issue. We do not foresee additional reduction of gold prices in the short-term. So, we expect to continue to reporting within guidance. In the case of Brocal, you know it was mentioned that we are going to produce 100% copper and copper is again produced at $6,500 per tonne of copper. We’re reviewing the networks of exploitation in the market or not plan eventually, we could reduce these cash cost by improving or notifying the exploitation narrow. But for the time being, the only tender we have is 6500.
Unidentified Analyst: Okay, great, thank you Carlos and Roque.
Operator: Thank you. (Operator Instructions) Our next question comes from Alex Hacking from Citigroup.
Alex Hacking – Citigroup: Hi good morning and thank you for the questions. The first question is with regards to cost at the Uchucchacua, it was $16 per ounce this quarter. I think you mentioned it has fallen to $14 an ounce. During the end of the quarter, once for manganese plant is up in running, what kind of cost structure do you expect that at this mining operations. And then the second question relates to Yanacocha, the mining as well ahead of its annual guidance, but in the second quarter press release new month did not increase production guidance for the year. So logically, should we expect a lower level of production over the second half of the year or do you think that the annual guidance is lot of conservative? Thank you.
Unidentified Company Representative : In case of Yanacocha, well we are following the annual guidance so the top first quarter Yanacocha reported higher than the average if you consume the annual guidance, so no surprises is during the second half of the year, we have slightly lower gold production which is slightly higher than the guidance costs applicable to sales.
Alex Hacking – Citigroup: Okay its clear thank you.
Roque Benavides Ganoza : You are welcome.
Operator: Thank you our next question comes from (inaudible).
Unidentified Analyst : Hi good morning thank you for representation. I just missed some of your guidance on Brocal. I heard that Uchucchacua to 100% on copper is that right. So for the second half we will all see copper production or still a little bit of zinc and if that is the case, so your full guidance for zinc output out of El Brocal would be on demand actually right, and in the case of Orcopampa, we’ve seen first half production below what we’ve seen in 2012, so my guess is also that with guidance would want to be met because in your company presentation you have that higher production of Orcopampa this year, so my concerns are regarding both operations.
Roque Benavides Ganoza: Yeah this is Roque and in the case of El Brocal, it was mentioned that El Brocal were 100% cooper during the second half of the year. However the expansion of Buenaventura opportunities will be completed about November. So eventually there will be a space to include to incorporate order post August production. But it is subject to the completion of the expansion plan. Regarding Orcopampa, yes this is absolutely right that we are producing lower grades and ore content, but we are obtaining higher production from [Latstanica , Santavothe and Breapampa. Then expect and we should compensate we are two third of copper production for (inaudible).
Unidentified Analyst : Okay thank you. And just one additional question I’m sorry. In the current price environment, have you already considered some buying opportunities perhaps. we have seen some company’s junior companies which are expressed by that lower cash, so could you eventually consider then as a target opportunity?
Unidentified Company Representative: We are not discarding that possibility, but in our strategic turn, we believe that the main work is to focus on our operations. We have to upgrade our own operations though that we are currently operating in China to dilute the organization, but we don’t discard the possibility of opportunities. It’s obvious that your question is [Audio Gap]
Operator: We are retransferring the main speaker line, on moment. Thank you. Please hold on members of the audience, we’ll be connecting the speaker again. (Operator Instructions)
Roque Benavides Ganoza: Hello?
Operator: Mr. Benavides, sorry, again. Can you please – this is Maria, can you please continue your call?
Roque Benavides Ganoza: Well, on the question of acquisition of (inaudible) and yes, we are looking at opportunities. The name of the game is chipping as much as we can of our cash position and generating efficiencies in the operations, that as I said we do not discuss possibilities over acquisitions.
Unidentified Analyst: Okay. Thank you. Thank you very much.
Operator: (Operator Instructions) Our next question comes from Tanya Jakusconek from Scotia Bank.
Tanya Jakusconek – Scotiabank: Yes, good morning, gentlemen. Thank you for taking my questions. I just have a question maybe for Carlos, just on the dividends from Yanacocha and Cerro Verde. Is it safe to assume that in this core price, that Yanacocha wouldn’t pay dividends back up and with Cerro Verde with the expansion going on and capital outlay over the next few years, that likely won’t pay dividends, would that be a fair assumption?
Tanya Jakusconek – Scotiabank: No, the astonishing news that Cerro Verde and Yanacocha are not going to pay cash dividends until completing the expansion project in [Chaquicocha]?
Tanya Jakusconek – Scotiabank: Okay.
Tanya Jakusconek – Scotiabank: However, this is an initiative we have to review since at which point in time, however is concerning to the raise or $1 billion debt. But this is a very conservative position and as of today, after investing in the order of $1.2 billion CapEx continues holding $1.1 billion cash position and (inaudible). We have to await the market conditions and the future capacity to generate cash flow that depends on prices. So, we are saying somethings now but we have to – it is most conservative position for this operation. eventually, the cash generation could be higher and the recession could be different. and so we are going to decide to this final efficiency.
Tanya Jakusconek – Scotiabank: Okay. and then just at Orcopampa that’s good news that you found these additional rains. Would you be having them into your reserves at year-end, given that you are going to start mining from them in Q1 of next year?
Roque Benavides Ganoza: We would have bills, I think partially at year-end within our interest.
Tanya Jakusconek – Scotiabank: Okay, okay that’s good news.
Roque Benavides Ganoza: That’s a complete information, we are creating or we are in forms of the blocks. So this is the main condition to report before our reserve.
Tanya Jakusconek – Scotiabank: Okay. And then maybe just one last question. just on looking at the company overall, and you’ve done all of these cost reductions that are well done in the slower gold price environment, the only thing we didn’t touch on was, just your sustaining capital and sort of your development capital that you see Buenaventura paying in the next couple of years. So just maybe what your sustaining capital is, maybe you can remind us?
Roque Benavides Ganoza: Well, this is part of the revenue that we are working on. We are just completing the main projects we have, the manganese sulphate and Hydroelectrical plant, which is the most important project being developed again, where we have is to work on Trapiche, which is the other project that we are evaluating and working on the first $50 by developing the project. We are working on pretty significant, but we will develop some value. And now strategic, we are working on the following integration part in the metallurgical process and the time. We have to make a business decision in this case, which is well and we now improve or we’ll develop this project on their own or we are going to share with anybody else or something related, because of business are customer deposit whether it could be are very important CapEx demand. So as only (inaudible) relates to attribute.
Unidentified Company Representative: We made two things there, the sustainable capital, we continue to gather our targets of the investment of CapEx in general of US$300 million of which sustaining CapEx is about half of that. So we are trying to reduce costs and trying to reduce that (inaudible) in CapEx as much as we can. In terms of strategy, as you know implemented an entity, it is 100% owned by Buenaventura and we may invite people to invest with us then acquire minority stake or participation and obviously by doing that reducing our requirement of investment in the project. So that’s the reason why is (inaudible) in different entity a three years ago. So those are (inaudible) that we are evaluating.
Tanya Jakusconek – Scotiabank: Okay. And then maybe lastly with my question for Carlos and the three mines that you put on that (inaudible) maintenance now because they were losing money, is that something that at year-end we will have to look at in terms of writing off, taking a write down on these items?
Unidentified Company Representative : Well, what I have to show little bit we have write down the impairments in the group operating units at the end of – at the end of 2012. So there are no important values to write of.
Tanya Jakusconek – Scotiabank: Okay, so there’s very little book value there.
Unidentified Company Representative : On the other hand for sure gold operations, we move the level to be explored (inaudible) but for any body else, so we can sell with some powerful strategy
Tanya Jakusconek – Scotiabank: Okay
Unidentified Company Representative : We hopefully showed, for instance, in the opportunities of one operating unit that we had in southern part of Peru and we have for followed that.
Tanya Jakusconek – Scotiabank: Okay. Okay, perfect. Well, thank you very much and good luck.
Unidentified Company Representative: Thank you.
Unidentified Company Representative: Thank you.
Operator: Thank you our next question comes from (inaudible).
Unidentified Analyst : I only have two questions. The first question is about your exploration expenses in differentiated number on field for this year and may be a target for following years? And the second question is about El Brocal and I think likely CapEx for this expansion project is around $2 million, $200 million and the cash position of – is around $15 million. So I’m wondering how you are going to finance this CapEx, thank you.
Unidentified Company Representative: Well in the case of (inaudible) certainly associate with additional financing for this CapEx that we believe with we should invite shareholders to finance this eventually capital decrease which is the main model option. But there can be another alternative if they consider that they could finance this with some united equity. That’s little bit.
Unidentified Company Representative: Okay, perfect. And then evolved and – along your expiration expense fees?
Unidentified Company Representative: The exploration strengthens well, we are going to $0.5 billion, $6 million budget approved for the second half of this year but subject to we sold but we reviewed, we believe what this could be reviewed by a couple of million dollars eventually according to the preliminary information of yield. On the other hand we have close to $20 million operations and having in account but again subject to results. So this is perhaps main change in the exploration strategy, not to have a program that will be curved out anyway, but we’re moving onto continue to on spending according to the results and if we achieve that our preliminary objectives we will continue, otherwise, we have to sell.
Unidentified Analyst: Okay, perfect. Can you please repeat the number per month and you can shade it by your number of entries?
Roque Benavides Ganoza: Well, not from the products in the second half. Second half will be $6 million subject to review on Buenaventura issues and in (inaudible) subject to results greater million dollars from this second add.
Unidentified Analyst: Okay, thank you very much.
Roque Benavides Ganoza: You’re welcome.
Operator: Thank you. Our next question comes from (inaudible).
Unidentified Analyst: Good morning, Carlos and Roque. I guess, my first question is on the financing of the Cerro Verde expansion, and consuming the current prices, it is hard for the company to keep the financing research to cash generation what you already expected. So if it’s likely to see debt or capital increase in there. My second question is El Brocal with the kind of new guidance for the second half of 13,000 tons of copper and 1.5 that’s on kind of 100 basis (inaudible) still there in an attributable basis that looks a bit high for the grade and so are you conceiving to buy some since we are concentrates to them and then they cover concentrates there and my third question is on the Tambomayo Unit, if you can give us a guidance on when is it expected to move to stability stage?
Unidentified Company Representative: In the case of Cerro Verde, we have already in the $20 million, Cerro Verde itself has in excess of $1 billion in cash in the company is looking for financing facility of somewhat in excess of $1 billion and then we are going to continue generating cash. We understand that these prices of copper remained over $3 per ounce and there will be no requirement of capital increases in Cerro Verde where we are quite comfortable in how are the functions are going to be financed. In the case of Sociedad Minera El Brocal, we don’t expect to buy any silver concentrates to add to the concentrates of the copper concentrates or when I think concentrates, we will continue operating in the guidance that has been done and we expect to achieve. And finally in the case of Tambomayo, we continue on the development of the project and we expect to have a cost of total project in under $150 million to $200 million. We are more precising the (inaudible) and we are working on that, that's the order of magnitude for putting in the production in Tambomayo.
Operator: Thank you. Our next question comes from (inaudible) from AFP Horizonte. Your line is open.
Unidentified Analyst: Yeah. Can you hear me?
Operator: Yes, sir.
Unidentified Analyst: Yeah. This is (inaudible) from AFP Horizonte. I have three questions. The first one regarding El Brocal operations, are you expecting the second phase of the expansion project to be ready for the second half of the year? Second, if there has been any change on the hedging policy? And third, if you can give us some guidance on your financing plans in terms of debt or equity issues for the following years?
Roque Benavides Ganoza: In the case of Brocal, we’re expecting to be finishing with the expansion, with total expansion value in the third quarter of this year, by the end of the third quarter or certainly before the end of the year. In the case of hedging, as you know, we’re having no hedging and we will continue that policy. In the case of Brocal, they do have up to 25% of their total production that could be hedged and that will continue as a policy within the Brocal entity. And finally, in terms of financing, as we reported, we reported [consolidation] from the Board to issue bonds if needed. But at this point in we are looking at the markets in order to see we have time to do quickly learn to see the best time to this insurance for (inaudible).
Unidentified Analyst : Okay, thank you.
Operator: Thank you. Our next question comes from James Bender from Scotiabank.
James Bender – Scotiabank : Hi, good morning Roque and Carlos and the team there. All my other questions have been answered, I just have a short one on Breapampa on the cost side, I’ve noticed that’s, we’ve had some pretty good costs there, are expecting that to continue for the rest of the year?
Roque Benavides Ganoza: Yeah, as you know this is a small operation very well run and we expect this same cash costs to continue for the rest of the year.
James Bender – Scotiabank : All right. Thank you.
Operator: Thank you. Our next question comes from (inaudible).
Unidentified Analyst : I’m sorry, I just had one additional question regarding El Brocal, and you said that so the half will be 100% copper, but does it mean that your copper guidance will be surpassed or your are going to meet two, any five 1000 short turns of copper expected for each year.
Roque Benavides Ganoza: Well, we have mentioned two production of El Brocal will be copper and in total will be the order of 10,000 tons of copper metal content not (inaudible).
Unidentified Analyst : Okay thank you.
Operator: Thank you. At this time we have no further questions. I’d now like to turn it back over to our speakers for closing remarks.
Roque Benavides Ganoza : Well, thank you for attending this conference call. I know that these are not the best times for Buenaventura, but I can assure you that in our 16 years of assistance, we have had worst times and we have been able to construct these, and we will continue merging. Certainly, shareholders that were resounding shareholders continue to hold their stake and we have a lot of confidence in the company and in the future of mining and the future of Peru. Thank you for attending this conference. I hope to see you soon.
Operator: Thank you, ladies and gentlemen, this now concludes today’s conference. You may now disconnect.